Werner Lanthaler: I hope you will be able to download the presentation for this conference call which we have uploaded on the internet. What we will do with this call is guide you through the presentation and name the pages that we are talking about so that you can properly follow us. I am here with my management team Mario Polywka, Cord Dohrmann and Colin Bond. Let me start by saying that it has been a great quarter for Evotec and it has been a strong start to the year. It has actually been the strongest quarter in the company's history. When you look at our business segments, Evotec Execute shows that we accelerate our growth in our base results quite considerably. When you look at our Evotec Innovate segment, you see that the long term first in class science that we are following in our Cure Extract initiatives is starting to deliver. When you look at our corporate formation projects, you see with the formation of two past therapeutics, we have shown an acceleration of our company formation going forward by spinning of our first company because we see here a platform with significant potential into the future. When it comes to our management team, I am very happy to report that I have the privilege to continue my work together with Mario and Cord, and that we were able to recruit a top talent from the top robotic industry to replace Colin Bond in the company as CFO. Having that said we are very sorry that Colin will leave us. As we come to the low lights of the company as well, by this time saying that there are not too many low lights to mention because only one project out of seventy currently co-owned tie up with companies has slowed down in pace so we have impaired and stopped the development of [ph] together with young steps. When you go to page 4 of your presentation it is my pleasure to report back to you that it's not only a strong quarter that we report. It is also the situation that we can confidently confirm our guidance of 2016. More than 15% growth excluding milestones upfront, adjusted EBITDA of more significance in the last year, increased R&D expenses will drive more innovation and we will do this very strongly going forward. Why can we do this? Because our financials from last year and our financial from Q1 are strong and Colin will tell you more about that in the future of this call. When it comes to Page 5 let me just highlight that we are aware of hybrid business model but it is very good to see that the business model works for many of our partners and it works for our own building within Evotec Innovation. On that note, let me hand over to Mario who will bring you into our Evotec Execute segment.
Mario Polywka: Thank you very much Werner, good afternoon ladies and gentlemen, so we are now on Slide 7 and folding on from the very successful end to 2015, we are very pleased to report that the Execute segment has shown continued good growth in the first quarter of 2016. This has been done by the main core business, a full quarter contribution from the Sanofi transaction and of course importantly, the collaboration from MSA that had come from that collaboration. New programs the achievements of milestones especially with catalogue in the first quarter. EBITDA for the supported catalogue was primarily a virtual bio-tech company for a number of years. We are pleased that our contribution to their programs contributed in some way to their acquisition as they mentioned in the last quarter as to the achievement of this milestone. Moving to Slide 8, which gives the financial performance of the Execute segment the revenue growth of the segment was 67% from $23.1 million in Q1 of 2015 up to $38.6 million of Q1 of 2016. This revenue number includes $7.5 million of interest revenues associated with work done for Evotech Innovate and a greater revenue has also led to quite a substantial leap in it. This is reflected by fundamental grossing of the gross margin of the core business as well as of course strong contributions from milestone payments which fall directly under it. Moving to Slide 9 where we tend to give you some information to our customer and client basis. The 10 largest clients account for nearly 80% of revenue and is always on a similar trend since 2015. This is healthy percentage as it reflects significant long term secure revenue in the main [indiscernible] over reliance on just a few clients. If we look at our customer type and adjusting for Sanofi transaction which biases that side of the top 20 pharma, this will also give fairly even spread between pharma, bio-tech and foundations. Again a good balance to manage the risk within the market type. Revenue has been consistent for the last two year's spread quite evenly between the US and Europe. We have taken the opportunity in the last few quarters to discuss certain aspects of the Execute business in a little more detail. For this quarter, we would like to expand a little bit more on compound management which has shown significant growth in new opportunities in the last 6 months to 9 months. This is depicted in Slide 10. We should remind ourselves that one of the key strategic rationale behind the Sanofi transactions last year was the access of the state of the art compound management station in Newark. But we wanted to complement our operations in the United States. Initially this is focused on the management of the Sanofi Global Screening collection. This has now been expanded to strategic agreement that UCB has signed at the end of last year and PFR has just signed and we have continued discussions ongoing with other clients to extend this service. A total revenue from Europe now almost match the now mature businesses in the US which is strongly taken by the long term strategic contacts with the NIHDPA and NCI. We believe that the soviets have established as world's leading partner in science and capability in compound management. Finally looking forward we hope to continue the strong growth and momentum of Q1 into the rest of the year. We anticipate some increasing new deals with large and mid-sized pharma. The expansions and increase have worked during especially with US bio-tech components and to go along with the achievement of two milestone so far this year, certainly a few more milestones to come through the rest of the year. On that note, I would like to thank you all for listening and pass you over to Cord Dohrmann.
Cord Dohrmann: Thank you, Mario. In Evotech Innovate we continued to build projects in key of these areas where we have filled comprehensive, systematic and un-despised discovery platform such as a neuro-science, there has a bit of complication, oncology, pain and anti-infectants. Key achievements in the first quarter of 2016 are that our efforts in the C&S rate are further supported by the Grant of Michael J. Fox foundation focused on targeting ultra-significance which is a key driver of this disease progression. It can also report through the progress in our existing partnerships such as the target idea of collaboration has changed and bit of confidence that these partnerships will be defended on the year initial terms. Finally, we are also making progress in our collaboration with pharma where Phase II study has been initiated with for EVT201 insomnia which is actively recruiting. In the oncology field we have entered into a new collaboration with UK based in the field of bi-specific molecules where initially we were focused on oncology targets. There has been exciting new partnerships as core pharmacy has been spreading indications and improved to be effective in many areas such as antibiotics, metabolic but also oncology. Targeting more than one protein than a single drop is a valid approach to improve a safety profile. In 2014, the bi-specific antibody has been approved in oncology and similar a number of successful dart clearly target more than on single protein. Together from this venture we will target two key molecules in the immuno-oncology field to a single small molecule. Accenture will monitor Evotech's very comprehensive capabilities here by contributing a unique computational chemistry platform that specifically facilitates the design of such small molecules. The next page illustrates the key performance indicator of Evotech Innovate. Clearly, Evotech Innovate has grown very significantly compared to last year increasing its revenues by 67% to EUR6.4 million. This increase in revenues is primarily due to 4 new Innovate partnerships which we signed in 2014. Three of these partnerships have only been finalized in the middle of 2015 with the effect to carry forward for the rest of the year. Correspondingly, the adjusted EBITDA has significantly improved as well and our R&D spend has likely increased. The increased R&D spend is fully in line with our strategy to continue to expand our efforts in Evotech Innovate and thereby continued to expand our portfolio of high value partnerships in the future. Next page is just a reminder that our pipeline of partners with other opportunities continues to grow despite uncertainty in the clinical stage pipelines. However, we do expect the initiation of new clinic methods towards the end of 2016 and beginning of 2017 to project from existing partnerships which are currently increasing the fate of development. In addition, we have made significant progress in our oncology collaborations of the three of the most advanced projects have entered development. On the next page it gives you an overview of a broad and deep portfolio of our oncology project that we have built over the last three years. The majority of these projects are focused in particular on the tumor micro-environment. This includes immunology related projects and immuno-oncology related projects as well as other mechanism such as DNA based repair. Targeting DNA based repair continues to show promise as these part was recently approved for the treatment of various cancers. Finally, one project we are particularly excited about is one which cardio genesis of your immune system in the immuno-oncology. New preclinical data indicate that EBTDA:1 is highly effective in combination to inhibitors and area which shows great promise in the treatment of cancers. The next page is an update on our QX target initiatives. Over the last year we have built many high value partnerships based on QX target initiatives which we will take in terms of potential payments. To continue our academic and have more partakes than ever before. Based on the number or projects and the progress we are making in these projects we have great confidence that we will be taking the strategy and continue to grow into the value of Evotech. The next, most straight forward way to enhance the value of individual projects is taking them further along the value chain. Ideally to proof of concept in the before partnerships, this is exemplified in the next Slide Page 18 where we have announced our spin-off company. Total Therapeutics and we spun off total therapeutics to cash out the full value of this platform and go after multiple product opportunities in parallel. Providing dedicated fund that reach into the clinic with the highly focused management team to pursue these product opportunities within the fastest possible timeline. We expect that Total will initiate clinics development, with the first one in 2017 with Evotech remaining the largest shareholder. Finally what can you expect of Evotech Innovate in 2016. While we do expect that new proper candidates will enter the clinics based on existing partnerships, we will continue to expand our top class academic alliances. We also expect further partnerships based on Cure X target initiatives and we will invest more aggressively into the alliance of platforms which is expected to deliver patients to [indiscernible]. Now I would like to hand over to Colin.
Colin Bond: Thank you Cord. Slide 21 as Werner already highlighted Q1 2016 was a very strong quarter financially for the company. Overall group revenues for Q1 2016 increased by 74% compared to prior year EUR 37.5 million. This increase was primarily due to the strong base revenue growth within the Execute segment. Contribution of the Sanofi collaboration and the full new strategic partnerships within the Innovate segments before concluding in the second half 2015. Adjusted EBITDA increased to EUR 7.2 million compared to - EUR 300,000 in the previous year. Slide 22 shows the results of Q1 2016 presented according to the Execute and Innovate segment. Consider them with our strategy the results of the Execute segment for Q1 2016 shows strong revenues, a stable margin, a low level of R&D investment and relatively high profitability. Meanwhile the results of Innovate segment for Q1 2016 shows significantly increased revenues and high gross margin percentage and significant level in Cure X and Target X initiatives. On Slide 23 he left hand box shows the comparison of revenues. As previously mentioned overall revenues increased by 74%. In addition, licenses increased to EUR 3.6 million compared to EUR 3 million in the previous year. The right hand box on Slide 23 shows the EUR comparison in gross margin. The overall gross margin in Q1 2016 increased significantly to 33.3% compared to 28% in the previous year. Furthermore, the base margin excluding milestones upfront of licenses also increased significantly to 23.6% compare to 16.9% in the prior year. This was due to the strong growth in the base business, improved utilization, Sanofi collaboration and favorable FX impacts due to the weakening of the British Pound versus the Euro. Slide 24 highlights the year over year performance of Execute and Innovate segments in terms of key metrics. The Execute segment has and will continue to deliver strong revenue growth, stable gross margin, a relatively high and improving EBTDA of the percentage of sales and a low level of R&D expenditure. The Innovate segment has and will continue to deliver strong revenue growth, a relatively high gross margin percentage and a significant level of investment in Cure X and Target X initiatives. With that I would like to hand the call back to Werner.
Werner Lanthaler: Thank you Colin, thank you Mr. Bond. There is no appropriate way to say this now. It has been a great privilege, it has been a lot of fun and has been very successful as a team to work together with you and us here and for us it's great to see that we will stay close contact with you because Colin will move onwards to one of our partners in Evotech and therefore good people stay in this industry together one way or the other. Why do I say this? Because we were able to recruit another top talent in the industry namely Erin [ph] coming from Biotech company to Evotech where we see a very strong complementarity to our management team where I'm very happy that Mario and Cord have decided to continue together with me and to drive Evotec forward in the years to come. We're also happy that we're able to show our commitment to the most important and most valuable asset that we have, our people, by even improving our HR processes throughout the group and making the group ready for a global footprint, even better than the they already are by hiring Monica Conrad from Durgen Northeim [ph] to Evotec. On this note, let me also guide you to Page 26, is another corporate update which goes into our shareholder structure where we are very happy to do worst possible in the last quarter after the extinction of the option which was ousted for the biotech value fund to change the shareholder structure by allowing the last capital served within Evotec to have various move exit of the company which was necessary because of governance reasons within the upfront. And on the other hand, we're very happy to welcome long-term shareholders to the company. Having said that on a governance note that we also introduce to you the following situation that we have decided to adopt the new regulations under German government that for Q1 and Q3 we don't have to fully go into the full disclosure of all reports necessary in export that we will only do this on half year basis and full year basis in Q1 what you will see so to say a limited version of our reports out there but nevertheless it should give full information for every shareholder as it is necessary to invest into this company. With this let me come to a conclusion for this Q1 call by basically again, reiterating that we see our business model works, with this we can't confirm our guidance for 2016 and see a long-term trend Evotec is leading the megatrend of external innovation in the drug discovery space with more than 16% group revenues that you will see excluding from the licenses we are on-track to achieve this goal easily for 2016. On an adjusted EBITDA group basis you will see us growing significantly in 2015 as we do this on a very strong liquidity within the company. Most importantly for us, it's over to stress the purpose is besides shareholders’ value from our business, also to strengthen our first-in-class sign and with this we will be very focused in accelerating our R&D expenses to around $20 million, especially in the field of oncology and IPS, so the right drug discovery initiative in 2016. This on top of investing about $10 million in CapEx allows Evotec to stay ahead of the curve in the industry and allows all our partners to stay ahead of the curve when it comes to achieving success in drug discovery. Let me thank my team, let me thank you and let me say at this point that we are very happy that you follow us and we are looking forward to your questions. Thank you so much.
Operator: [Operator Instructions] The first question is from Igor Kim [ph]. Please go ahead.
Unidentified Analyst: Hello everyone, Igor Kim from Bank [ph]. I have a few questions that correspond regarding clients. Could you provide a little bit of granularity, for example, what was the contribution from Sanofi deal in the first quarter? The second question is regarding to your gross margin. Without milestones was there spending 6% significantly above the prior year and it also give the FX tailwinds but could you also quantify how much of that was from the weaker British pounds in your gross margins? And the third question is, if possible could you comment on your order book? And is it still as strong as it was at the end of 2015 or it looks better or - I don't know, any comment would be helpful. Thanks.
Werner Lanthaler: Thank you, Igor. The first question on the top line will be answered by Colin, second question on the FX sector on our gross margins will be answered by Colin. Third question, the status of our order book will be answered by Mario.
Colin Bond: Thank you, Igor, it's Colin here. So the total number for the Sanofi collaboration is €12.6 million, but it's - that's misleading because it is a collection of agreements and we have approximately 70 people within Evotec working on a execute work for Sanofi and that for us is just normal ongoing business rather than part of any special transaction with Sanofi and that number is included within the €12.6 million. So reversing the operational PCs out, it's - the number is probably less than €8 million in terms of cost coverage or one-time contract. So even excluding that the growth is well above 20% in Q1 2016. To the profit, the impact of - at the British pound is approximately €700,000. So it's significant but not dramatic and it's favorable due to the weakening of the British pound versus the Euro. On the tax we have different effects every year, as you know sometimes the dollar is bit stronger, sometimes the pound is bit weaker, we more or less have a natural hedge in place because we have operations in Europe and the U.S. and we have income in U.S. dollars, in euro and in British pounds but of course we monitor that situation quite closely. On the order book I hand over to Mario.
Mario Polywka: Thank you very much. Hi, Igor. I think the first interest say is that a strong Q1 usually precedes a good year because it means we're taking new collaborations efforts signed in the last quarter or the last half of 2015 into the whole of 2016. So we certainly end 2016 with the overall order focused on much healthier position than it was going into 2015. We managed to clear a number of new screens, integrated deals, functional standalone work. And we are constantly in discussion over the new contract, so what that amounts to and how we look at that model that we feel very confident as Werner said to meet our guidance in growth on the sales order book side but it looks a very healthy sales order book. Of course we know we work in an industry where consolidation happens, there is many surprises as companies get acquired and that can lead to slow down of decision making but I think we have a year where we're not so concerned about that. We have a number of mastering opportunities and as in every year, these can be volatile because while we report on revenues excluding them. But again, going forward, we had a good start, 2016 with two milestones being achieved and we anticipate a few more coming for the rest of the year.
Werner Lanthaler: Thank you so much. If that answers your question Igor, I would like to ask for the next question.
Unidentified Analyst: Yes, that does, thank you. And Colin, we wish you the best of luck.
Colin Bond: Thank you, Igor.
Operator: The next question is from Heinz Muller of Bank [ph]. Please go ahead.
Unidentified Analyst: Heinz Muller speaking, good afternoon. And I would like to raise a question regarding your P&L on Page 14 of your quarterly report. You show in the line foreign exchange, a loss of 2.1 million, I didn't found an explanation in the report, perhaps you can give me some information about this big loss?
Werner Lanthaler: In accordance with our hedging policy, we normally - once the budget is concluded, take out forward contract selling dollars for pounds to cover half of that operational exposure, we're long in dollar, short in British pounds. Of course we wanted the impact of the pound weakening was that we then had an unrealized exchange rate loss which is recorded on this slide. But there is two ways to looking at it. One is we're locked in the budget for 50% of our exposure, two is, we get the upside on the 50% that we didn't lock in but that is absolutely in accordance with the company's FX policy.
Unidentified Analyst: So I'm just wondering because in the previous year you had a gain of 2 million, so it looks as you are speculating with currency or is this not a case?
Werner Lanthaler: We never - it's not in policy to speculate with currency. We only take out forward contracts and protect 50% of our underlying exposure of the dollar versus the pound, and the dollar strengthened.
Colin Bond: Let me please be specific, we don't speculate on foreign exchanges and we also don't speculate on cash that we have on our balance sheet. If we go the most conservative way possible to basically sustain improve shareholder value.
Unidentified Analyst: Of course, it was only a joke. Thank you very much.
Colin Bond: Please understand, I have to react to such jokes.
Unidentified Analyst: Yes, of course.
Colin Bond: Thank you.
Operator: The next question is from Anastasia Gapua [ph]. Please go ahead.
Unidentified Analyst: Good afternoon and two questions if I may. If I look at your partnership in core targeted liberations [ph], there is a marked slowdown of industry or pharma partnership from 2013. Should we interpret it that the collaborations are losing momentum or you rather focus on advancing a niche already signed partnerships or refining and signing new collaborations? And the second question, what is the rational for your debt reduction decision and what magnitude shall we expect?
Werner Lanthaler: So maybe on first question I will take over, second question Colin will take over. Please don't be misled by the number that we show here on partnerships. It really comes down to quality, quality, quality only to build up academic relationships and academic projects that we are driving within our targeted initiative. To give you here an illustration that have never been more active within our collaborations with INQ 'x' target, 'x' initiative than they are right now. And that probably illustrates to you that that is not a slowdown but on the contrary, there is full acceleration ongoing within that project. On the second question, I think I'll hand over to Colin but just to give an intro to that, we are conscious of our process that we have to constantly monitor our liquidity situation and also our very strong situation, this allows us to take certain steps in - also our debt policy.
Colin Bond: The good news is that with our strong EBITDA we do have access to debt financing, at the end of Q1 we have 22.6 million of debt outstanding and we have access to an additional, approximately 8 million, so about 30 million in total. Of course one of the questions we frequently get is, use of proceeds and other development and what we're going to do with those liquidities that we have. The other issue is that there is of course negative interest rates in the euro at the moment and some banks starting to charge negative interest. So one of the things that we've been looking at is to - on a temporary basis repay debt that we have access to that if we then want to do some strategic moves going forward. So it just seems the right thing to do given the fact that the company is very well financed, the business, is very stable and generating cash to then actually look at opportunities to avoid negative interest reduced to what is any rate, very low interest rate.
Werner Lanthaler: To give you two indicators to your question on top of that, we, at this stage have not defined a number but we will go very tentatively along with the market where we can bring down debt and where we would be just unnecessarily fairly paying interest rates, that's first addition to that. And the second, what we have achieved in the last years as a company that has constantly growing its top line and its bottom line, despite our clinical failures is that some banks give us a credit rating which is way above B+ and therefore we have access to their capital markets which almost no other biotech company has given the evolution of our top line and bottom line, so that's why we can access much more flexible than other companies.
Unidentified Analyst: Thank you. If I might just follow-up on the first question, my concern was regarding - not regarding the academic partnerships which are definitely growing but the partnership of - as I - the products coming from those academic collaborations with pharma. So like the contract you had on target AD with Janssen or J&J or with AstraZeneca. And there is a slowdown in external partnerships let's say from 2014, and I was wondering if there is reason for that?
Werner Lanthaler: Actually I would challenge your slowdown here again because if you're just looking to 2015 you have seen that we have closed four innovate partnerships that drive recovery for into pharma pipelines and this is the highest number of innovate partnerships that we've ever made and it might seem like a slowdown because of course we have to digest the clinical late stage failures that we also reported for example in [ph] disease to get up with Roche also this is out of treatment depression program with Janssen. But again, don't misinterpret here the situation that yet it's an early pipeline but it's moving faster than ever before.
Unidentified Analyst: Okay. Thank you for taking my questions.
Werner Lanthaler: Sure. Next question please?
Operator: The next question is from Victoria English of Evernow Publishing Company. Please go ahead.
Victoria English: Yes, I have three questions. On compound management, which you've given us more detail on in the past, going forward do you see this as a stable revenue stream for the company or is there some way that you plan to integrate this activity further into your other business? That's the first question. The second question comes, padlock, and how you're current licensing relationship will be affected following the BMS acquisition? And the third question concerns Topas and whether the start of the first trial in 2017 represents anything, any kind of inflexion point for you as the largest shareholder?
Werner Lanthaler: On question number one and two, I would like to hand over to Mario. On question three, I will take over.
Mario Polywka: Okay, so compound management. Well, it's very much is stable of revenue as we see it as a steady source of long-term business and this is - effectively we have pharma companies and the NIH who give us their whole collection, we continue to build on their collection, we maintain it both from a QC standpoint and then we take it around the world to whenever it's required for screening and all of such activities. It takes long term and it's very consistent revenue. It's not the highest of up margins but it's a very straight forward activity to manage. We also those - in many opportunities in which we can leverage this type of business elsewhere to - if we had the sole arbiters now and managers of a company's compound connection we have access to their screening head, we have access to their search heads. So it gives us very specially into screening and we hope over the next four/five months to give you further news on how we've been able to develop that with couple of our partners.
Werner Lanthaler: I think your last question was how is the impact of BMS's acquisition of padlock on us? First of all, as I said earlier, this is two years that we've driven with the padlock scientist in this company and their scientific portfolio to a position where BMS reported a huge value on it. We're at a stage now where there is still a lot exchange of information between the scientific teams of Evotec, Padlock and BMS. There are not at the moment discussions about whether work will move from Evotec elsewhere or slowdown. We will have discussions that at the moment we're not in the position to know how that might go apart from - again, we would see this as an opportunity and this already happened in a number of meetings where we've been able to showcase what fantastic signs we've done at the Padlock with senior BMS scientists.
Victoria English: Thank you.
Werner Lanthaler: And BMS so far is not a larger customer of Evotec, that I think important to mention. And on your Topas question, it's a very nice - I would say strategic opportunity, we have the situation ahead of us that - been off company has to convince its shareholders about the future there is. And therefore, we are very happy about a great management team within Topas, equate strategy within Topas where Evotec was pivotal to form that strategy and we will just optimize shareholder value in an optimum risk with what situation for Evotec shareholders coming out of Topas. If there is any exit point or any pivotal point related to that with clinical start, I would like to say no. I think there is more or less exit point and a pivotal decision point related to that with a clinical closure what if positive proof-of-concept data point hopefully coming in 2018-2019.
Victoria English: Okay.
Werner Lanthaler: If that answers your question, I hope to see you soon again. And we are happy to take the next question.
Operator: [Operator Instructions] There are no further question, I hand back to the speakers.